Operator: Good morning, and welcome to the investor and analyst call for LSEG’s 2024 full year results. [Operator Instructions] I would like to remind all participants that this call is being recorded. I will now hand over to David Schwimmer, Chief Executive Officer, to open the presentation. Please go ahead.
David Schwimmer: Good morning and welcome to our 2024 full year results. I’m joined by Michel-Alain Proch, or MAP, our CFO; and by Peregrine Riviere, Head of Investor Relations. In 2024, LSEG made significant progress on our strategy as we continue to transform our business and the industry we serve with innovative products across the trade lifecycle. LSEG delivered a year of strong revenue growth, up 8.4% or 7.7% on an organic basis. Our good performance was broad-based, driven by a high pace of innovation and relentless customer focus. We are also delivering efficient growth with 80 basis points of margin improvement in the year. Our equity free cash flow was up very strongly to £2.2 billion, supporting significant shareholder returns and our continued investment in future growth. I’ll come back to the commercial and strategic progress we’re making in a moment. But first, I’ll hand over to MAP to take you through our financial performance in more detail.
Michel-Alain Proch: Thanks, David, and good morning, everyone. As you can see on Slide 4, we have delivered a strong income performance of 7.7% in 2024 on an organic constant currency basis. Growth in H2 was stronger than H1 with an acceleration of D&A and Capital Market and a rebound of Post Trade after a stable first semester. All divisions contributed to the group growth of 7.7%, demonstrating the strength of the group, all-weather business model. Data & Analytics posted a solid performance at 4.5%, accelerating from H1 to H2. Both FTSE Russell and Risk Intelligence grew at a healthy double-digit rate on an organic basis. Capital Markets had an exceptional year with growth at nearly 18%, reflecting Tradeweb’s record performance. Post Trade reported a satisfying slight growth, despite a very strong 2023 and the impact of the loss of the Euronext business. Looking now at Data & Analytics in more detail, where we saw an acceleration in growth over the course of the year. There was really a good performance from Workflows with organic growth of 2.9%, which would be closer to 4%, adjusting from – for Credit Suisse and the enterprise deal we mentioned at Q1. On top of now integrating news from Dow Jones, Workspace strongly improved its functionalities with an end-to-end buy-side solution, integrating the TORA order execution platform. And the addition of Macabacus productivity tools is proving very popular with investment banking customers. Data & Feeds maintained its good momentum. We continue to invest in broadening our data sets, both in private companies’ data and ESG. We are also building out our distribution channels with the launch of DataScope warehouse in Snowflake and our first cloud-based full tick feed with the full depth of book data. Our first data sets are now available in our Data-as-a-Service offering built in partnership with Microsoft. In Analytics demand for Yield Book’s fixed income analytics and loan data continue to drive growth. Turning now to FTSE Russell and Risk Intelligence on Slide 7, FTSE Russell had a strong year with a solid performance across both subscription and asset-based revenues. The growth here is broad-based, with good progress on our flagship equity products, a strong performance in fixed income and encouraging sales in new areas. Asset-based revenue was also double digits, with record AUM levels reflecting market movements and inflows, despite the loss of an ETF mandate at the end of H1. On the product side, the integration of Tradeweb data into FTSE Russell progressed well during 2024 with the launch in June of Tradeweb FTSE U.S. treasury closing prices, and in October, the plan to include Tradeweb FTSE benchmark closing prices for U.S. treasuries, European government bonds and U.K. Gilts in FTSE Global fixed income indices. Finally, Risk Intelligence continued to be driven by WorldCheck, where the underlying growth drivers remain strong. Our digital identity and fraud business saw a good pipeline of product release in the year, driving volume growth, and our enhanced due diligence activity stabilized in Q4. Looking now at our ASV metric on the next slide. ASV growth was 6.3%, as we exited 2024, providing a solid base for growth for 2025. The 6.3% result reflects the positive net sales performance in the year and limited incremental impact from Credit Suisse-related cancellations during the fourth quarter. On the next slide, Capital Markets had an outstanding year with all businesses contributing to growth. Performance has notably improved in equities and FX in the second part of the year, driven by improving market conditions and higher market share in equities. Fixed Income had a fantastic year, driven by the growth of Tradeweb, with record average daily volume of $2.2 trillion, up 37% on 2023, excluding ICD or up 56% all in. Tradeweb continued to grow share in a number of product lines in a very healthy market environment. The acquisition of Redfin and ICD also contributed 3.5% of growth to the division, and the latter adds corporate treasury as a fourth client channel for the business. Finally, looking at Post Trade. Here, the reported growth does not fully reflect the strength of the underlying performance given the known headwinds in 2024, including the Euronext migration, the LIBOR software migration in 2023 and the normalization of cash collateral levels. Business was good across both our core swaps franchise and in newer growth areas. SwapClear saw strong growth with client clearing volumes up 6%, and ForexClear saw 34% growth in notional cleared. We continue to make progress with the development of Post Trade solutions and increased our stake in LCH Group, bringing ownership to 94.2%. Moving now from revenue to the rest of the P&L on the next slide. I will go into OpEx and margin in a bit more detail on the following slides. The overall message here is that the group is starting to deliver operating leverage. The strong top line growth of 8.4% on a constant currency basis fully translates into an improved AOP growth of 9.5%. ATS increased by 10%, with the share buybacks impact compensating for higher finance costs and tax. Looking at the cost base in more detail on the next slide. This looks at both cost of sales and operating expenses. As I have mentioned before, cost of sales is – have heavily influenced by the mix of our top line growth. On a constant currency basis, it grew by 4.9%, a slower pace than the 7.7% income growth we reported. This is mainly due to the larger contribution to top line growth from Tradeweb and D&A, where a large proportion of cost of sales is fixed in nature. Turning to operating expenses. Staff costs should be looked at in conjunction with third-party services. These two lines together reflect the total people resources we employ across our organization. As you can see, the resource cost decreased by 20 bps year-on-year as a proportion of total income. This is a great result and is a materialization of operating leverage. The major driver of this is one of our key strategic programs to manage more of our all engineering resource and drive a more product-led culture. During 2024, we exited 2,200 contractors on the back of the end of Refinitiv integration and added 800 employees in our engineering team, upgrading our internal capabilities and creating both ownership and efficiency. This is easy to say, but it’s hard to do. And if we present really good progress on our journey towards an engineering mix, that is at least 70% in-source. All in all, as I said, 2024 is demonstrating the beginning of operating leverage, with total operating expenses increasing by 6.4% for an organic growth of 7.7%. It’s also worth noting that our reported adjusted operating expense cost base in 2024 includes a £41 million benefit related to a fair value gain on embedded derivatives and FX items. In 2023, this was a £42 million expense. Let’s now turn to the next slide, where we bridge the effects of these cost drivers on our EBITDA margin rate. Starting from the left, the 47.2% is the reported margin for 2023. Then there are the adjusting FX factors, namely embedded derivative and a translational impact. All in, it gets you to a comparable baseline of 47.6% for 2023. Next, you can see the contribution to margin from each cost line on a constant currency basis. The net benefit to margin from people resource cost leverage that I just mentioned is a 30 basis point improvement in constant currency terms, and from IT cost is another 10 basis point benefit. The 30 basis points from other is made up of all other P&L line items above EBITDA, cost of sales, recoveries, other operating costs and associates. The improvement is mainly coming from property costs, travel expense and the fixed nature of some of our cost of sales item that I was mentioning. Taking these controllable movements together gives our underlying margin improvement, a 70 basis point performance. We have also called out a separate 10 basis points improvement from the higher Euroclear dividend received this year, which nearly doubled in 2024. As a reminder, we sold our Euroclear stake in December. So that brings us to an underlying margin for 2024 of 48.4%. And as I said, we enjoyed a benefit of 40 basis points from embedded derivative that gets you to our reported 48.8%. Turning now to net financial expense on Slide 14, which increased by €25 million on an adjusted basis in 2024. As you know, interest rates were higher in 2024. While this had a benefit to interest income, it meant our refinancing activity was more expensive, which drove up our Internet – interest expense. In December, we took advantage of the rate environment to repurchase $250 million of LSEG bonds, which we are trading at a discount to par value. This was an NPV-positive transaction that also resulted in a fair value gain of £24 million, which was recognized within finance income. On tax, on the next slide, the effective tax rate rose from 23.2% to 24%, fully in line with our guidance of 24% to 25% for the full year. The increase is mostly a result of last year’s step-up in the U.K. corporation tax rate. On EPS, it’s helpful to take a slightly longer-term view, given the noise from year to year from FX. Here, you can see that over the last 3 years, EPS has grown 33% or a compound rate of 10%. And in the last year, it grew 12%, well ahead of revenue growth. Now looking at non-underlying items which are similar in nature to previous years and for the most part, relate to Refinitiv, we remain on track for total integration costs across CapEx and OpEx of around £1.4 billion by the end of 2025. The successful Refinitiv integration is now largely completed with revenue and cost synergy delivery exceeding original targets, and we still – and we will stop detailed monitoring of the synergy program. Turning to depreciation, amortization and impairment of intangible and other assets, this includes £235 million of asset impairment as part of our annual balance sheet from new process. The non-cash impairment charge is made up of three things: firstly, £186 million relating to software assets no longer in use. The two largest items relate to aspects of our FX and index replatforming, with the balance reflecting our focus on a smaller number of projects. This £186 million should be seen in the context of almost £4 billion of investment we have made since the Refinitiv acquisition, so around 5%. As I said at the half year, we have introduced much more stringent assessment and tracking of software projects. Then the second part of the impairment was £60 million on property that we no longer require. And finally, £33 million related to an impairment of a minority held investment. Let’s turn to cash flow now, which I think is an increasingly important part of the LSEG financial performance. We have made two changes to our definition of equity free cash flow to make it more comprehensive. First, we now deduct lease payments within equity free cash flow. And second, we now include commercial paper interest within interest paid. In the past, both of these items sat outside equity free cash flow and result in a £228 million reduction in 2024 compared to the old definition. Now on to the 2024 cash flow item. We saw a big step-up in operating free cash flow, generating nearly £750 million more year-on-year, driven by the EBITDA growth of £430 million and a normalization in working capital contributing £320 million. Net tax paid increased by about £180 million. There here are a few reasons for this increase. First, we have now utilized our historic tax losses in the U.S. Second, our U.K. business is now moving into statutory profit. And lastly, our Euroclear stake sale drove a £34 million capital gains tax charge. CapEx came in at £957 million, well below last year and fully in line with our guidance at 11.3% of revenue. We have a good line of sight to that number coming down in 2025 and beyond. Putting those movements together. Equity free cash flow shows really strong growth of £576 million, normalizing the working capital. It’s an increase of 16% versus 2023, higher than EBITDA and EPS. We have continued to be very active in our allocation of cash as well as you are going to see from the next slide. The first in order of capital allocation is the dividend, with a final dividend increasing 12.2% to 89p. This amounts to a total dividend of 130p, which equates to 36% of EPS, around the middle of our policy payout ratio of 33% to 40% of EPS. On acquisition, total spend was £1.2 billion. This relates to the acquisition of ICD and Redfin and the buyout of 11.6% of the LCH minorities. We also disposed of our 4.9% Euroclear stake and a small Risk Intelligence business, which together brought in £385 million. And lastly, we deployed £1 billion on buybacks, playing our part in Blackstone’s orderly exit from the register. In total, we’ve now returned £2.5 billion via buybacks in the last 2.5 years at an average share price of around £82.5. We ended the period with a leverage of 1.7x net debt to EBITDA, well within the range of 1.5x to 2.5x. Looking ahead to 2025. We expect to generate at least £2.4 billion in equity free cash flow. Based on our dividend policy, around £700 million of cash will be deployed in dividends. We plan to execute a £500 million share buyback in the next few months, and we will provide a further update at our H1 2025 result in July, depending on other use of capital. And of course, we will continue to look at M&A opportunities across the group that makes strategic and financial sense. You can see from our performance in 2024 that we are well set to deliver on our promises from the 2023 Capital Markets Day. For 2025, specifically, we see revenue growth of 6.5% to 7.5%, which includes an acceleration in D&A organic growth and a more normalized growth at Tradeweb. EBITDA margin will improve 50 to 100 basis points on an underlying basis after our 80 basis point improvement in 2024. We have structural levers here, which will support this expansion, while still leaving plenty of room for growth investments. CapEx intensity will fall to around 10% of revenue as we see the final Refinitiv integration spend tail off in 2025 and an improved investment control. And finally, the free cash flow I just mentioned, there is one point to call out on our reporting as we go into 2025. We are combining Capital Markets and Post Trade under one division for reporting purposes. We will obviously still give all the revenue line disclosure we give today, but the single P&L for the two divisions going forward. You will be familiar with these slides. It lays out our medium-term guidance first published at our Capital Market Day in 2023. The updates to guidance are highlighted in bold on the slide, and our 2025 guidance is wholly consistent and underpins this medium-term guidance. Revenue growth will accelerate after 2024, adjusting for Tradeweb’s exceptional 2024 performance. Underlying EBITDA margin will increase by circa 250 basis points over the period 2024 to 2026 compared to 2023, and we actually already completed 80 basis points in 2024. As I mentioned, capital intensity will be around 10% in 2025, then declining to high single-digit percentage of income and no change to cash conversion. It will exceed adjusted net profit, as you saw, strongly achieved 2024. With that, let me hand back to David to talk about our strategic and operational progress.
David Schwimmer: Thank you, MAP. This chart puts last year’s performance in context. Despite big swings in capital markets and the global economy, we delivered strong and consistent growth. This is a testament to our all-weather business model. You can also see how disciplined delivery of our strategy over the last few years has accelerated growth from mid-single digits to high single-digit growth in 2024. On this slide, we’ve summarized the principles guiding our execution and how these principles combine to form a powerful strategy that is delivering sustainable long-term growth. This is the foundation of our strategy. Our global reach and capabilities across asset classes, combined with our presence along the entire financial markets and data value chains, uniquely position us to partner with our customers and meet their needs. From this base, we deliver on the opportunities created by our five strategic enablers: our best-in-class data machine and distribution, our commitment to open ecosystems, the power of our integrated end-to-end solutions, the trust that we build with customers by helping them with their business critical needs and the deep value-creating partnerships we build with customers. I’ll unpack each of these themes in the following slides, demonstrating how we delivered against them in 2024 and how we plan to advance them in 2025 and beyond. We operate along the full life cycle of a financial markets trade, helping customers access capital on our debt and equity issuance platforms with pre-trade price and liquidity discovery, through to execution and Post Trade data and reporting. This is mirrored by a similar process across the data value chain. In the sourcing phase we acquire and ingest data. We categorize it or apply our taxonomy to it. We add value and IP to the data with financial models and analytics. We distribute it via a data feed, a desktop, a cloud or some other channel, however and wherever our customers want to consume it. Each individual step in the trade life cycle and data value chain is important to customers. But it is when you connect them end to end in a single solution that the value created for customers becomes truly compelling, and that is the proposition we are building globally. I think it’s fair to say that 2 or 3 years ago, many of our customers and potential customers didn’t know who or what LSEG was, who we were and what was included in our business. That’s understandable given the transformation of the company. But look how quickly that is changing. Following our successful brand campaign, our brand awareness, which tracks recognition of who we are, has jumped to almost 70% of customers and potential customers. That’s up roughly 25 points over the last 12 months. That growing recognition of the LSEG brand is translating into greater purchase intent. We’re seeing this both from existing customers looking to buy more and non-customers looking to make their first purchase. This purchase intent is turning into action with continued good growth in our sales pipeline. We sometimes get asked about our competitors who were highlighting a softer sales cycle a year ago and are now pointing to a modest recovery. While we do see some variations in demand across our customer base, the breadth of our business and diversification make us pretty consistent. You can see this in metrics like the length of our sales cycle, average deal size and win rate, which remains stable. At H1, we highlighted our success in driving competitor displacements. That trend continues. In the second half, for example, Workspace displaced 650 desktops at a European wealth manager. Workspace also displaced a competitor in the fixed income function of a leading U.S. fund management group. A customer community, not historically considered home turf or friendly territory for Workspace. It’s a trend we also see outside of Workflows. In Data & Feeds, for example, a large global custodian switched to our pricing and reference data. And in Risk Intelligence, a UK bank adopted WorldCheck as their primary anti-money laundering and sanctions solution, displacing two rival offerings. Integral to our strategy for growth is optimizing our best-in-class data machine and delivering its full power to customers. We continue to benefit from our multiyear investment in content. Debt corporate actions data for 1 million instruments is now live. The accuracy, timeliness and coverage of our fixed income evaluated pricing data is much improved. These improvements have addressed the capability gap in fixed income data that I spoke about at the time of the Refinitiv acquisition and are already unlocking new sales. And we continue to build relationships with other content providers, signing partnerships with Dow Jones and Dun & Bradstreet and a new data agreement with Tradeweb. We are deploying new technologies and automation to drive greater efficiency and scalability in our ingestion and management of data. Our usage of AI tools on some of our data sets is already driving efficiencies. They also indicate we can make further gains in the timeliness and accuracy of our data and reduce the cost of maintenance. As technology evolves, it changes the way our customers consume data. We are investing and innovating to meet that future need. Key aspect of that strategy is the expansion of our multi-cloud offering. With Microsoft, we are building a cloud-based platform, allowing customers to access the full breadth of our data from a single connection or interface. We call that Data-as-a-Service. Our ESG data is now live on that platform, and we will continue to add more data sets over the course of the year. Also in partnership with Microsoft, we have migrated our quantitative data products to a new Azure environment, creating a powerful and scalable cloud solution for our quant customers. Our multi-cloud approach allows us to meet customers in whichever cloud environment they choose. Last year, we added DataScope’s pricing and reference data to AWS and Snowflake. We also expanded our real-time services across all the major cloud providers, including Azure. By making it easier for customers to find access and use our data in the cloud, we expect they will consume more of it and extract greater value. LSEG has a long history of an open approach. Our flexibility makes us a partner of choice to many. Our partnership with the U.S. futures trading platform, FMX, went live in September, with the clearing of SOFR futures and will soon expand to include U.S. treasury futures. Together, we see potential to bring competition to the market and unlock over $200 billion of cross-margining collateral for market participants. At the half year, I explained how we introduced a single API for our 300-plus analytics models, radically simplifying the way our customers access our analytics content. We continue to build on that success and are partnering with a number of banks to distribute their analytics via the same API later this year. Again, this is an opportunity only made possible by our open approach and trusted relationships with partners. And also this year, in partnership with Microsoft, we will begin the community-by-community rollout of Open Directory, an integrated Workspace and Teams messaging function that will enable collaboration in a compliant way. We will integrate new data, content and tools and will be open to other industry players, helping to build communities more quickly and intentionally. A key part of our success in recent years has been the increased focus on end-to-end solutions aligned with our customers’ needs. The acceleration in growth of our Workflows business is a great example. We have continued to improve the core Workspace offering with more than 500 enhancements last year. And we are also integrating other powerful LSEG and third-party services. Research and news, expanded trading functionality, index products, banker productivity tools and Post Trade data are just a few examples. As a result, so much more of a user’s workflow can be done without leaving the Workspace environment. This is what we mean by seamless integration. In partnership with Microsoft, we intend to take this workflow integration much further. The first Workspace application from this partnership is now live in Teams, and the pace of product delivery accelerates from here, more on this in a few minutes. Let me give you another example of the value we create when we combine our capabilities into a new single solution. We all recognize the importance of rules against market of use, like insider trading. However, we hear from our customers that ensuring compliance with these rules is often costly and complex. By combining products from our Capital Markets, Data & Analytics and Post Trade businesses, we have created a novel trade surveillance solution that addresses these customer pain points. Because it builds on the existing connectivity customers have with our UnaVista regulatory reporting tool, it’s straightforward for customers to adopt. This platform launches in the coming months. This slide shows a few more examples of the solutions we’re providing to help customers navigate new opportunities or challenges. I’ll talk about the first two to give you a sense of the role we play. The first example relates to the EU’s Digital Operations Resilience Act, or DORA, which came into effect in early January. Among other things, it requires companies to maintain detailed frameworks on their technology risks and conduct regular tests of their IT infrastructure. Our customers value and trust our processes of data governance and reporting and the robust testing frameworks we apply to our own operational infrastructure. And we give customers full access to this reporting through a web-based all-in-one solution, which they can configure to make their specific needs. Our customers’ need for regulatory solutions also drives our Risk Intelligence business. For example, at the start of this year, the European Central Bank implemented the latest phase of its electronic payments initiative known as SEPA, which stands for Single European Payments Area. This added rules on the speed and quality of the sanctions data that banks and other payments companies must use to screen their payments in euros. We created a solution tailored specifically to these requirements, providing customers with the fastest possible delivery specifically for European sanctions data, ensuring our customers are fully compliant. While these and the other examples below differ in their specifics, they have one common factor to the value and trust customers place in our expertise as we help them meet their business-critical needs. I’ve mentioned partnership a few times now because it underpins everything we do. Tradeweb is another great example. Tradeweb’s innovation in new trading protocols and execution tools like portfolio trading is enabling the electronification of interest rate and credit markets. It is also growing Tradeweb’s share of these segments, with Tradeweb gaining almost 4% of market share in the trading of interest rate swaps and 2.6% in U.S. investment-grade credit just in the last 12 months. We work with Tradeweb across the fixed income trade life cycle. Our customers are already seeing the benefits of our partnership from integrating FXall with the Tradeweb platform to the U.K. and European government bond price benchmarks FTSE Russell is providing to Tradeweb, through to the distribution of Tradeweb data by our Data & Feeds business. In Post Trade, too, we’re partnering to build industry solutions for the uncleared space, and we’re seeing some encouraging early traction. We’ve seen record growth in the number of members at SwapAgent, which provides Post Trade services for uncleared interest rate swaps. And we are seeing good momentum in our FX Smart Clearing service. 7 new member banks joined last year with the service clearing, a combined £35 billion of FX forwards. We continue to build new solutions and integrate our capabilities in this space. From October, FX Smart Clearing customers have benefited from access to our capital optimization capabilities, creating a more seamless offering and further supporting growth in Post Trade solutions. Over the long term, we see a similar opportunity for solutions in the uncleared space as we do in cleared products today. Finally, turning to our partnership with Microsoft, we aim to provide customers with an open ecosystem that seamlessly integrates our workloads and data with Microsoft’s enterprise applications. In the second half of last year, we moved from innovation and co-development into implementation with a number of solutions going live. Financial Meeting Prep is now available, the first example of our data being integrated into Microsoft Teams using AI to surface insights. And I’ve already mentioned our cloud-based data platform, Data-as-a-Service, and our analytics API, both of which went live at the end of last year. The cadence of product delivery will accelerate in 2025. The first half, we will see a significantly enhanced Workspace Excel added, an additional data on the DAS platform. The second half of the year, we’ll see three particularly exciting developments for Workspace: availability of the Open Directory messaging function I mentioned earlier; deeper integration of Workspace data into Microsoft Teams; and introduction of the first generative AI tools in Workspace. With these tools, customers will benefit from the integration of data into a seamless and efficient workflow and enhanced productivity. The partnership products on the slide can feel sort of like a shopping list of apps and features, but it is the clearest way to demonstrate the progress we are making and the new functionality and capabilities we’re introducing. Over time, what customers will really experience is an entire ecosystem, seamlessly combining Microsoft’s enterprise applications with LSEG’s workflows and data. And all of these features and many more will form part of this. We’re excited by the pace and direction of progress. So to summarize, we are delivering on our strategy. We’re driving a strong financial performance with good growth, margin expansion and cash generation in 2024. We are actively managing our allocation of capital. We continue to invest in the future growth of our business. Our CapEx is moderating. We are committed to returning surplus capital to shareholders and will buy back £500 million of our shares this half. We are innovating and transforming our business, while deepening and strengthening our customer relationships and driving change across financial markets. And with that, I’ll pass to Peregrine for Q&A.
Peregrine Riviere: Thanks, David. [Operator Instructions] Operator, over to you.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Russell Quelch from Redburn Atlantic. Please go ahead.
Russell Quelch: Yes, hi. Good morning, both David and MAP. Thanks for the detailed presentation. I wanted to ask a question on pricing and sales. So going back to the Q4 conference call, the S&P hosted a couple of weeks ago now, it was suggested that they had improved retention at full year client renewals, but they are seeing negative pressure on pricing in data and desktop from competition. I was just wondering, having completed your pricing round now, did you see the same dynamic or not? And as a follow-up, how far through your back book are you in terms of developing enterprise sales contracts? Can we potentially see more large data deals being announced in 2025 as we did through the course of ‘24?
David Schwimmer: Good morning. Thanks, Russell. The short answer is we’re not really seeing the same dynamic. We – over the past year or two, we’ve gotten these kinds of questions around our business relative to some of our competitors. And when they saw the weakness a year or two ago, our business, we have a much broader, much more diversified business. We don’t have the kind of exposure to one particular segment, but we do buy side, sell side, corporates, etcetera. So we have not seen that kind of dynamic. And when some of our competitors saw things being a little weaker a year ago, our business was fine. Today, some of our competitors are making different kinds of comments about what they’re seeing in the market, and our business continues to be fine. So on the enterprise question, it’s – and we’ve talked about this in the past, it’s a fairly small percentage of our overall book. And we have ongoing discussions with some of our customers. They can be somewhat lengthy discussions, given the complexity of these kinds of enterprise arrangements. But I would say I feel generally very good about what that pipeline looks like, but nothing to announce specifically today.
Russell Quelch: You bet. Thanks so much.
David Schwimmer: Yes. Thank you.
Operator: Your next question is from the line of Bruce Hamilton of Morgan Stanley. Please go ahead.
Bruce Hamilton: Yes, thanks. Good morning, guys and thanks for taking my questions and then for the presentation. I guess, the – I mean, there has been quite a lot of market focus given the departure of the Head of Data. So I was wondering if you could just provide some color. Obviously, the financial momentum in the business looks good. But just understanding that given there has been quite a lot of movement in terms of senior heads within data since the Refinitiv deal was closed and within senior management more generally? And then just linked to that, in terms of any sort of contract sort of losses that are sort of in line of sight, those are embedded in the guidance. Any color you can add there? I think there has been debate around UBS, for example. I know you don’t like to talk about specific contracts, but any color there would be helpful? Thank you.
David Schwimmer: Yes. Thanks, Bruce. Maybe I’ll take your second question first. And so nothing new out there in terms of any contract losses. We had highlighted this really going back over the last year in terms of our expectations for some of the UBS-Credit Suisse consolidation. We are aware of the chatter around one particular product that people have been talking about. This is, again, not new. You can see where our ASP is. The business continues to perform well. And I think that particular contract we are talking single-digit millions here. So should not be causing people question or concern. So – and then on your first question, we have had some movement in terms of the senior leadership. A lot of it is very natural. Our Head of Technology retired last year. MAP’s predecessor went to a job at Nestle. Our Head of Integration moved on as the integration was done. So I would say in terms of the broader leadership team, we have no trouble attracting great talent. The team is working really well together. And with respect to the departure of the former Head of D&A, he moved on for some other opportunities. I would say if you – maybe just, let me put this into a little bit of context. And this is not talking about any individual in particular, but you put this into context when you talk about some changes in the leadership of D&A. And this is a business that we – when we acquired it a few years ago, it had not been growing for many, many years. We now have it growing at 4.5%. That is a massive transformation, and there has been a lot of work that’s going into that, and part of that is changing of some of the people. So that has pretty much all been positive from my perspective. So I appreciate the question. It’s absolutely a fair question, but there really isn’t anything to be concerned about and the results, I would say, speak for themselves.
Bruce Hamilton: Great. Thank you. Very clear.
David Schwimmer: Yes, thank you.
Operator: Your next question is from the line of Michael Werner from UBS. Your line is open.
Michael Werner: Thank you guys. Congrats on the results. Just a question on the index business, if you take a look at the constant currency organic growth rate within subscription revenues on FTSE Russell, it’s been quite volatile throughout the year. It started around 8%, 9% Q1, 13%ish Q2, Q3, and then it’s dropped down, I think, back to around 9%, 8% in Q4. I was just wondering, how we should think about that? Look, we’ve seen really good developments in this business in recent years, are these – should we look at kind of the average growth rate? Are there any kind of auditing fees or difficult comps there? And then just, yes, as we look forward, how do you think about the strength of that business? What’s driving this growth, in particular? Thank you.
Michel-Alain Proch: Yes. Thanks, Michael. It’s MAP. So, I think we are very satisfied by the performance of FTSE Russell in 2024, I mean both in terms of top line and profitability. And I would say that related to top line, the big picture here is that we have a very strong demand for FTSE Russell flagship equity index and benchmark products. And it’s throughout the year. Now, in any particular quarter, there will be some individual items that have an impact. And it’s true that in Q4, when you look at subscription, we were lapping a very strong sales performance from the same period a year earlier. So, that combined with a bit of normal fluctuation in terms of sales and in-store, and it creates a bit of quarterly fluctuation, but that’s all. So, long and short, I mean very, very satisfied, and we think we have a great potential for 2025.
Michael Werner: Thank you.
Operator: Your next question is from the line of Kyle Voigt from KBW. Please go ahead.
Kyle Voigt: Hi. Good morning everyone. Maybe just a question in terms of the margin target out to 2026, I think it implies closer to 100 basis points of EBITDA margin expansion in ‘26 versus the 50 basis points to 100 basis point range for ‘25. I guess can you just clarify the main driver of that kind of slight acceleration in margin expansion that’s expected in ‘26? And then the second part to the margin question is really just as we think about a longer term horizon, what’s the right way to think about incremental margins of the business or more normalized expense growth rates as we move into 2027 and beyond, as you are past the Refinitiv-related synergy realization?
Michel-Alain Proch: Yes. Kyle, hi it’s MAP. So, maybe I will begin just – and thank you for the question. And I think it’s a very fair point. So, let me first explain the base of the numbers, and then I will explain the driver. So, the base of the number is really when you look at 2023 margin constant currency, 47.6%. So, what we have done last year in 2024 is 80 bps on this 47.6%, bringing it to 48.4%. And then, as I am sure you were mentioning, based on this 47.6%, we go 250 basis points by 2026. So, on this 250 basis points, we have done 80 bps, and we have 170 bps to do. Now, for 2025, we have given a guidance 50 bps to 100 bps. If you go in the middle, okay, you find about 80 basis points, so repetition of the performance of 2024. And then to go to 250 bps, you have 90 bps – about 90 bps in 2026. That’s pretty much it if you take the middle of the threshold, and that will bring you just north of 50%, which is our target for 2026. Now, in terms of driver, so the way we look at it in terms of operating leverage, we really have two baskets in here. We have what we call our people equation, meaning the addition of our internal employees and our external contractors. This is a – and we are driving this through a project of reinforcing on which I think I have given a lot of color in H1, so I am not going to repeat too much. But I want to give you some – just some color here to tell you that at group level, okay, when you look at 2024, we have been able to control our headcount and increase by 600 – net hire of 600 people, ‘24 and ‘23, so about 27,700. And we have been able to reduce 1,900 contractors in which you have the 2,000 contractors reduction that I was referring to in engineering. So, net-net, our resources went from 39,700 to 38,400, so a net reduction of 1,300. So, on this, we have been a bit helped by the end of the Refinitiv integration, for sure. But the engine is there, okay. And we are going to carry on in this project for ‘25 and ‘26. So, that’s on the resource part. Then you asked about ‘26 precisely, and you were right to say that there is a slight acceleration compared to ‘25. So, there is this, plus you will see in ‘26 the first benefit from automation projects that we have launched with Pascal Boillat and Irfan Hussain, our COO and CIO. We are working, the three of us together, that we have launched now that you are not going to see a real benefit in ‘25, but you will see an increased benefit in ‘26. Sorry, I have been a bit long. And maybe just addressing beyond 2026, so first, obviously, we are very concentrated into doing this 250 bps. And beyond 2026, you will see an incremental margin, but not at the level of 80 bps, 90 bps, 100 bps a year as we would have catch up our competitor – caught up – I am sorry, caught up our competitor by the end of 2026. It will then be more incremental.
Kyle Voigt: Perfect. Thank you.
Michel-Alain Proch: Thanks Kyle.
Operator: You have a question from Hubert Lam, Bank of America. Please go ahead.
Hubert Lam: Hi. Good morning. Thank you for taking my questions. I just got one on Microsoft. So, it’s good to see good progress on the Microsoft partnership and the pipeline coming up. Maybe if you can share some feedback from clients who have used them so far. And also when should we expect the upside from Microsoft benefits coming through in your growth numbers? Is it more in the back end of this year or 2026? How much of your guidance for ‘25 includes the Microsoft benefits, or is it more of a driver for ‘26 and beyond? Thank you.
David Schwimmer: Yes. Thanks Hubert. So, on the feedback question, so it’s great to have the products out there and to be getting the feedback. I will give you a little bit of color or feedback that we are getting, for example, on the Meeting Prep product. There is a desire for more languages. And I think we are – we have gotten requests for a number of different languages. I think we are looking into that with Microsoft in terms of being able to use multiple languages. There is a desire for it – for the product to be plugged straight, in other words, to be able to be plugged straight into PowerPoint and for it to be more accessible across other parts of the Microsoft productivity suite, so those kinds of things. It’s very – in many ways, nuts and bolts, like easier ways to take advantage of it and adding different features or putting some kind of way of accessing it in a different Microsoft feature. So, that’s terrific. Your second question, sorry, on...
Hubert Lam: Upside in growth…
David Schwimmer: Yes. So, it’s really – you understand how our business works as these products are starting to be used and starting to roll out this year. We are not going to see a dramatic impact this year. You should expect to see more of that in ‘26 and beyond. I don’t know, MAP, if there is anything you want to add to that.
Michel-Alain Proch: No, I think we just – maybe just to give some color. In Workspace, we have indeed very – and David, you explained it, a very important roadmap to deliver in 2025. So, it’s a lot about rollout of the product in 2025. And then we will gain momentum in terms of revenue in 2026 through price realization because, obviously, we are here providing functionalities, far better functionalities to this tool. So, it’s price realization. And for Data & Feeds, we are moving very fast, that’s moving more data sets and our key ones on Azure and Fabric. And here, it will be a usage play, if you want. It’s less about price. It’s more about usage. And in both cases, it’s ‘26 and ‘27.
David Schwimmer: Sorry. You wanted to ask a follow-up there.
Hubert Lam: So just – so if I take this all together, then potentially, there could be more growth in ‘26 versus ‘25 within your guidance you have given in ‘25.
David Schwimmer: Yes.
Hubert Lam: It sounds good. Thank you.
Michel-Alain Proch: Thanks Hubert.
Operator: You have a question from Enrico Bolzoni from JPMorgan. Your line is open.
Enrico Bolzoni: Hi. Thank you for taking my question. I was looking at Slide 37, where you presented the pipeline of products coming this year. Just in my eye, the fact that now you quite soon in 2H, maybe I am reading too much into that, but the launch of Open Directory, and towards the end of last year, I think you were mentioning that this was a big project, that – and the target was to complete it by the very end of 2025. So, looking at the slide, it looks that maybe things are moving a bit faster than expected. Is that fair? So, could we see it perhaps already in 3Q? And related to that, can you share any insight on whether you have a conversation with clients and there are a few clients that already told you, I don’t know, I love your product. I am just waiting for Open Directory to be live, and then I would switch out of a competitor and move to LSEG. So, just wanted to understand how good of a visibility do you have on winning large accounts, large mandates once this project is featured live.
David Schwimmer: Yes. Well, thanks Enrico, for the question. So, on Open Directory, because of the nature of the product, this is basically about creating communities that are all using the same communication tool, we are not going to have a big launch date. It’s more about building community access community-by-community. And so we actually started this in 2024 with some piloting, and with Tradeweb and others using some of the pilot product there and getting feedback and beta versions, etcetera. And then as we go through this year, you can see on that Page 37, we talk about it being more broadly available in the second half, but we are really continuing that piloting process now and engaging with a number of partners and customers in terms of starting to build up those communities. And so that’s the kind of rollout that you should expect over the course of this year. At the same time, we are building the functionality. We have to make sure that it covers the compliance needs of our customers. We have to make sure that it works well in terms of a lot of the different needs for users to share workflow. And so we are continuing to work on it as we roll it out in the same way that we have been working on Workspace as we have been rolling that out. And so you will see that continue over the course of 2025. On the client conversations, there is a lot of excitement about this. There is real interest in terms of having a very high functioning messaging capability that is fully integrated with what a lot of our customers already have, which is Teams fully integrated with the LSEG product and Workspace and also an open protocol and open to others in the industry. So, I am not in a position to tell you specifically right now we have x customers waiting to shift over to us, but there is significant anticipation and interest in terms of what we are building here.
Enrico Bolzoni: Thanks. And sorry to go back on the first point, if I have to summarize, your confidence that actually Teams will be live in 2H. Obviously, it is a gradual process, but is it fair to say it’s very high?
David Schwimmer: In terms of the specific Open Directory?
Enrico Bolzoni: Yes. In terms of being confident that actually this will be a product live in 2H.
David Schwimmer: Yes. And to my point, it’s – we are basically out there piloting it now. And so it should be more generally available over the course of the year. But yes, in H2, we have confidence in that.
Enrico Bolzoni: Great. Thank you.
David Schwimmer: Yes. Thank you.
Operator: Your next question is from the line of Arnaud Giblat from BNP Paribas Exane. Please go ahead.
Arnaud Giblat: Good morning. My question is on SwapClear, I think during the presentation, you outlined the fact that there was some pricing benefit that aided OTC revenues to grow. I am just wondering if you could give us a bit of a quantification as to how much of an impact that has had. Also if I think back over the past few years, it seems like there is a bit of a re-pricing cycle happening every 3 years or so. Is that something you can confirm and whether we should expect that going forward? And secondly, if I could also ask my follow-up on that division, I am just wondering how we should think about the impact of EMIR 3.0 and the potential upside on OTC derivatives? Thank you.
David Schwimmer: So, just on your EMIR question, and I assume you are referring to the challenges over the last several years in terms of EU clearing, I just want to make sure, Arnaud, I am answering the right question for you.
Arnaud Giblat: Yes. No, I think in one of your slides on Post Trade, you say that OTC derivatives benefited from pricing increases at SwapClear. And I think if I reflect back over the past 10 years or so, it seems to me that every 3 years or so, there is an increase in price, if that’s the case, and if you can continue pricing up at that sort of cadence.
David Schwimmer: Yes. So, a couple of different things at work here. Well, every few years, we have had a renegotiation of our revenue share, and there has not been that this year. I will turn it over to MAP in a moment just to talk about any pricing implications. But then I think just the last part of your question was around the changes associated with EMIR. And I assume you are referring to the fact that the European Union has again put a – well, I expect we will have an extension of access to LCH’s – LCH Limited clearing. And this has been an ongoing discussion really since Brexit. I think there is a clear recognition now within the European Union stakeholders that it is important for EU institutions to have access to LCH Limited’s clearing. And we have gotten a very strong clear indication that that would be extended for another 3 years, at least through 2028. So, I just want to make sure, was that the third part of your question there?
Arnaud Giblat: Yes.
David Schwimmer: Okay. And then let me turn it over to MAP on your specific question around pricing.
Michel-Alain Proch: Yes. Sure. So, indeed we enjoyed a very strong performance of SwapClear as part of our OTC derivatives during 2024. There was, you remember well, a price increase at the beginning of this year, if I am not mistaken, in February. It’s a price increase after 2 years of no price increase, just to have this in mind, because we want to carry on having a very strong partnership with the – with our members, so – which kicked in, in February. But have in mind that the performance of H1 was greatly affected by the fact that we were comparing to prior year, H1 2023, in which we had about £20 million of one-time revenue from the LIBOR migration, okay. So, when you look at the performance of SwapClear, it’s really, it’s two story in one. You really have H1 and then H2 in which we have a growth of 18%, while we have a more normalized 2023 comparison base. And obviously, we had a tailwind from the market volatility and uncertainty around central bank activity and obviously the U.S. election, and don’t forget this at the end of last year. So, we saw particularly a high client clearing activity among hedge funds. And I remember talking with Dan Maguire, and there were some record days at SwapClear in the last two months of the year. So, that’s the dynamic of this activity for 2024.
Arnaud Giblat: Thank you.
David Schwimmer: Thanks Arnaud.
Operator: You have a question from Benjamin Goy of Deutsche Bank. Please go ahead.
Benjamin Goy: Yes. Hi. Good morning. Maybe one on cash flow, and thanks for the guidance and more details. So, it looks like a bit more than £200 million increases in ‘25. And looking at the revenue guidance and margin improvement, I would expect more than 3x of that and hopefully one-offs come down. Maybe you can explain the moving parts here and whether it’s conservative. And linked to that, looks like you would have more higher power for buybacks. How should we think about that? You mentioned H1. Is it conditional on larger M&A or you would also feel comfortable increasing leverage again within your guidance range, of course? Thank you.
David Schwimmer: Thanks Ben. MAP, why don’t you answer the cash flow question?
Michel-Alain Proch: Yes. Sure. So, Ben, I mean first of all, I mean when you look at our performance of cash flow in 2024, it was extremely strong with an increase of about £570 million. But you need to strip out of this £570 million, the normalization of the working capital of £320 million. So, it means that if you take that apart, the £570 million of 2024 is an increment of £250 million. And then when you move on to our 2024 free cash flow guidance, first of all, you are right to note that it’s at least £2.4 billion. So, now if you take the £2.4 billion precisely as a point, you are going to find a performance, an increment, if you want, of £210 million, okay, compared to the £250 million of 2024. But really, had that in mind that, at least so I feel comfortable with materializing the same increment. I want to say just one thing that you are right when you do your modeling that we have got the 6.5% to 7.5% increase of revenue materializing into an improved EBITDA, reduction of CapEx, but just have two things in mind. We have in, cash-wise, an increase of interest – of debt interest, okay, net financial expense I mean for about £20 million, £30 million. And as I was mentioning, in 2024, we are going to have an increment into cash tax because we are out of tax loss carry forward. So, if you put that into consideration, you land at the, at least £2.4 billion.
David Schwimmer: And then on your buyback question, no change in terms of how we think about our capital allocation. So, we will continue to invest internally. You have seen our dividend announcement today. We will continue to evaluate M&A opportunities in the bolt-on categories. And I think to the extent that we have excess cash beyond that within our target leverage range, you will see us actively manage that. And so that’s exactly what you have heard about today. And we will revisit the buyback question when we get to that. So, I don’t think you should anticipate anything. I don’t think you should think there is anything different there. This is consistent with how we have approached it in the past.
Benjamin Goy: Understood. Thank you.
David Schwimmer: Thank you.
Operator: You have a question from Andrew Coombs of Citi. Your line is open.
Andrew Coombs: Good morning. I have two follow-ups, please, one on Post Trade and one on Data & Feeds. If I come back to Arnaud’s point on Post Trade, I mean that business has grown, the OTC derivative line, at least, is growing 11% year-on-year and 19% year-on-year in Q4, so incredibly strong. You flagged the SwapClear pricing change in February, and that’s after 2 years. So, I presume there will be no step change in pricing this year. I think your volumes are up 21%, notional cleared in SwapClear, so extremely strong. So, just trying to think about this from a cyclical versus structural growth perspective, would you expect some of the cyclical tailwinds to moderate this year, but perhaps the integration of Acadia, SwapAgent, Quantile under Post Trade Solutions still provide some structural growth? Can you give us your thoughts on trajectory from here for that line? And then the second one, Data & Feeds, almost the opposite way around and that you have gone from 9% growth year-on-year to 6% growth year-on-year, but that includes the Credit Suisse contract loss. You had the major client enterprise agreement signed at the start of last year. So, should we expect that to improve and recover this year? Thank you.
David Schwimmer: Thanks Andrew. Do you want to make a quick comment…?
Michel-Alain Proch: Yes. Just a quick comment about SwapClear price increase, so happened in February 2024, represent in our performance 2024 about £20 million, okay, of incremental revenue that we obviously will not have in 2025, because we are not increasing prices on this asset class in 2025. David?
David Schwimmer: But Andrew, to get to your question, which is really how much of this is cyclical and how much of this is structural, this business continues to grow very well. Does it benefit when there is incremental uncertainty in the market and volatility, absolutely. But let me just give you one statistic. Our – the number of clients, new clients clearing on SwapClear in 2024, I believe was somewhere around 60 and so that in the context of clients who are already on SwapClear, it’s roughly about 1,000. And so that is basically – that gives you sort of a fundamental underlying client growth rate to this business. So, the cyclical aspects will continue, the volatility will continue. But here we are, many years into the era of mandated clearing, and we still have good customer, meaning clients growth signing up for clearing with SwapClear. So, hopefully that helps give you a sense of some of the underlying drivers. We also see opportunities in new geographies. There is a lot going on in Asia, in particular. So, this is just – it’s a great business. And I think it will get the benefits from the cyclical activity, but that doesn’t mean you should assume that the underlying structural elements are subdued. There is good growth in this business. On your Data & Feeds question, I think that in terms of the – this is a question around higher growth 2 years ago, yes.
Andrew Coombs: Yes, 9% and 6%.
David Schwimmer: Yes. We have seen – continue to see good growth in this business. There was some one-off and synergies in the 2 years ago, 9% zone. But I think we feel very good about where we are with this business, and it continues to grow well.
Michel-Alain Proch: Yes. I would just say we – the performance of 2024 is, I am sure you remember, is impacted by the Credit Suisse cancellation, and that we just mentioned, and is impacted, too, by the enterprise data deal that we explained in Q1, if I am not mistaken. And the – actually, when you look at our guidance, the guidance is precising, the 6.5% to 7.5%, that it’s including an acceleration of D&A, so including the time fees.
Operator: You have a question from Julian Dobrovolschi of ABN AMRO. Please go ahead.
Julian Dobrovolschi: Hello. Good afternoon gentlemen. Thanks for taking my question. I have one on the CapEx guidance. So, I was just wondering what are the new areas of investments, which were not part of the previous plan given that forecast 10% CapEx relative to revenue of 2025? And I believe in the past, you were guiding for a high-single digit previously. So, I am just curious what has changed now. And maybe a quick follow-up on the capital allocation for 2025, it looks like you keep the door open for selective M&A. I would appreciate if you could comment a bit about the areas of potential targets for inorganic growth that you might consider for 2025.
Michel-Alain Proch: Alright. Thanks Julian. So, to – maybe to clarify on the CapEx, what we have said during the 2023 CMD is that the capital intensity of the company will decrease over time to high-single digit. So, when you look back in time, in 2023, we spent £1.04 billion [ph] of CapEx. We decreased it in 2024 to about £900 million – cash-wise, £960 million, so reaching 11% of revenue. What we are saying is that in ‘25, we will do another step down to 10% of revenue. And if you calculate, you will see that it’s somewhere around £920 million, around that, whatever. It’s a circa, so 10%, and then going into high-single digits by 2026. So, that’s basically the curve, if you want.
David Schwimmer: And then, Julian, I think your second question was around areas for potential M&A. I would just suggest you take a look at what we have done over the last couple of years, where we have done, I think, five or six bolt-on type transactions, a couple of them in Post Trade to help build out our Post Trade Solutions, a number of them in Data & Analytics in terms of TORA and MayStreet. We added some capabilities in Risk Intelligence. So, yes, Tradeweb, of course has been active as well in terms of r8fin, Yieldbroker and ICD. So, that gives you a sense of both the kinds of assets that we have been evaluating and also in terms of the size, I would say, and we have talked about this in the past. It’s a little – we get a little bit more bang for the buck, so to speak in – if they are a little bit bigger, if its Acadia is a bigger transaction than Quantile, for example, and it’s basically the same amount of work. But we will continue to evaluate opportunities. They have to make both strategic and financial sense for us. There is a lot that we look at that we don’t do, so we try to be very disciplined about it.
Julian Dobrovolschi: Appreciate it. Thank you.
David Schwimmer: Yes. Thank you.
Operator: Your next question is from the line of Ben Bathurst of RBC. Your line is open.
Ben Bathurst: Good morning. My question is on workflows. You have seen sequential growth improvements there each quarter in 2024. I wonder do you think the exit rate is sustainable into 2025, or might we expect any noise around the sun-setting of Eikon in H1? And my follow-up of sorts is that you mentioned first generative AI capabilities in Workspace in H2 2025. And would you – can you clarify, will that be accessible to all Workspace users or just those with copilot? Thank you.
David Schwimmer: So, MAP, why don’t you take the first one? I will take the second one.
Michel-Alain Proch: Yes. No, so, Ben, you are right. We have indeed a very good performance of workflows throughout the year with an incremental growth quarter – sequential quarter-after-quarter. There are several drivers behind this. I think the most important one is a number of enhancements that we have made throughout the year to the product. David mentioned more than 500 enhancements to Workspace, and we have underlined in previous call a displacement that we had based on the quality of our product. We expect Workspace to carry on having a positive trajectory in 2025. And we don’t see the end of Eikon as a negative on our top line. So, we – the conversion from Eikon to Workspace is almost complete. We have the last clients, which are large banks, which are the last client that will be complete by the end of H1 2025. And overall, we feel – we really feel good about it.
David Schwimmer: And then on the second part of your question on the GenAI capabilities in Workspace, so this basically will mean a very different customer experience and natural language search and accessing a lot of our data through – with the power of the AI functionality that people have now come to see and really appreciate. I think my expectation is that we will be rolling that out in the back half of this year as part of our regular product. We have not finalized that, but if you look at how we have been making a lot of these enhancements over the past year or 2 years, we have not – have tended not to have any incremental pricing in year. We roll out the new products, the new features and new capabilities, and then we do a once-a-year price adjustment at the beginning of the next year. And that would be my expectation on this kind of approach as well. But we haven’t finalized our exact landing on that, but that would be my expectation.
Ben Bathurst: Thank you.
Operator: And your next question is from the line of Ian White of Autonomous Research. Please go ahead.
Ian White: Hello. Thanks. Thanks for taking my questions. Just – firstly, just in terms of the – some of the comments you made in relation to Slide 27. Maybe you can say a bit more about the extent to which some of the new product innovations, especially the e-commerce platform, Data-as-a-Service and Meeting Prep showing evidence of providing the group with access to a slightly different type of clients to the large financial institutions. So, I am thinking about corporates and smaller financial clients. To what degree are we seeing those newer items helping you in those groups, please? That’s my main question. And just a follow-up, please, on the technology side. Can you just describe what is left to do on the journey to getting 70% of the engineering capability in-sourced? Sort of how many more people you need to hire? Are there specific skills and capabilities that you sort of need to locate? Is it as simple as converting some existing contract relationships to permanent employees? Just some help understanding what actually needs to happen there, that would be great. Thank you.
David Schwimmer: Sure. Ian, thanks for the questions. I will take the first one, and then MAP, you can go into the engineering journey. So, short answer to your question – your first question, Ian, it’s early days. And of course, that is why we are building the e-commerce capability, so that we can serve smaller customers, some corporates out there, sort of new addressable markets with a lighter touch. But it’s very early days in terms of – on the e-commerce. We have that working for WorldCheck and relatively small amount – not material amounts at this point, but making good progress on just smoothing out that workflow. With respect to DAS and Meeting Prep, the focus now is on – certainly with Meeting Prep getting institutional customers signed up. I think there is an opportunity for other customers that are not in our normal wheelhouse, whether they are corporates or others to access it. And the way that works today is that if you click through from – if you have the right version of Teams, you have access to it. But you don’t have Workspace, you can click through and you will be – there will be a paywall, and then it does go to basically an e-commerce capability and you can ask for it. So, we, I believe have that capability up and running. But it’s early days in terms of seeing a meaningful impact there. But that’s certainly part of how we are building this out going forward. Over to you.
Michel-Alain Proch: Yes. So, on the engineering journey, so it’s a – first of all, it’s a very large project that Irfan – that we are conducting with Irfan Hussain, our CIO. I am going to give you some color. We began this – we began in 2024 with a split, 60-40, so 60% external, 40% internal. And the total of our engineering resources was 17,000 people, so rough number, 10,000 externals, 7,000 internals. During the year, we have said very clearly in the script, we have hired a bit less than 1,000 people internally, and we have decreased the external contractors by 2,000. So, roughly, again a rough number, we are going from 17,000 to 16,000 altogether. And we have almost, at the end of this year, a 50%-50%. And now we need to go to 30%-70%, and it’s going to take us ‘25, ‘26 and ‘27. So, it’s a very large project, indeed. And then in terms of color, it’s not only a question of converting people. It’s really about improving our talent and internalizing our engineering knowledge in very particular areas. So, long and short, we still have to go to the 70%-30%, so 30% external, 70% internal, we have in front of us 3 years.
Ian White: Thanks a lot. Helpful detail.
David Schwimmer: Got it. Thank you.
Operator: There are no further questions on the conference line. I will now hand the presentation back to David Schwimmer, CEO of LSEG, for closing remarks.
David Schwimmer: Very well. Thank you all for your questions and for your interest. You know where Peregrine and the IR team are if you have any further questions, and we look forward to talking to you again soon.